Operator: Good morning, and welcome to the Air France-KLM Group's Q2 and Half Year 2025 Results Presentation. Today's conference is being recorded. At this time, I would like to turn the conference over to Benjamin Smith, CEO; and Steven Zaat, CFO of Air France-KLM. Please go ahead, sir.
Benjamin M. Smith: Okay. Thank you, operator. Good morning, everyone, and thank you for joining us today for the presentation of Air France-KLM's results for the second quarter of 2025. Today, I'm joined by Steven Zaat, Group CFO; Anne Rigail, Air France CEO; and Marjan Rintel, KLM's CEO. As usual, I'll begin by covering the key highlights of the quarter before handing over to Steven, who will walk you through the financial results in more detail. I'll then close with an overview of our medium-term ambitions and conclude with remarks before opening the floor to questions. Okay. Moving to Slide 3. Air France-KLM delivered strong results in the second quarter of 2025 with revenue up 6.2%, and we reported an operating income of EUR 736 million, which is an increase of EUR 223 million year-over-year. The operating margin stood at 8.7%, reflecting the continued impact of our strategic choices and disciplined execution. We also made further progress in strengthening our financial profile. Adjusted operating free cash flow reached EUR 0.7 billion for the first half of 2025, and our leverage ratio decreased to 1.5x, now fully within our target range. At the same time, we continue to invest in fleet renewal. New generation aircraft now represent 30% of the group's fleet. These results underscore the strength of our execution, our financial discipline and the resilience of our business model, even as we continue to navigate a complex environment marked by geopolitical tensions, rising taxes and airport charges as well as ongoing tariff uncertainty with the details and impact of the recent EU-U.S. agreement announced last week still to be clarified. Moving now to Slide 4, which highlights how our premiumization strategy continues to be a key driver in revenue quality and resilience for Air France-KLM. Altogether, the share of revenue generated by our La Premiere Business, Premium Economy and Premium Products increased by nearly 3 percentage points, confirming sustained customer appetite for our top of the range offering. In the first half of 2025, La Premiere and Business Class revenues grew by 11% with particularly strong momentum on the North Atlantic routes. Premium Economy cabins at Air France and KLM, respectively, saw remarkable growth with revenues up 27%, the strongest increase across all cabins. And to conclude on commercial trends, I'd like to highlight that corporate travel demand continues to rise steadily with overall year-on-year growth of 6% since the beginning of the year, observed across all cabin segments. Now moving to Slide 5. So the trend goes beyond cabin segmentation. It's about redefining the entire travel experience. At Air France-KLM, we continue to push the boundaries of aspirational travel with many enhanced products and services at every stage of the journey. This includes the launch of our new La Premiere suite now operating on routes to New York, JFK and Singapore, setting a new global benchmark for first-class travel. At the same time, Premium Comfort continues to expand across the KLM network, while Air France is growing out its latest long-haul business cabin to 23 destinations this summer. This quarter also saw the launch of a new Air France Canal+ partnership, bringing a curated selection of premium French content to all long-haul flights, further enhancing the in-flight entertainment experience. And in a unique showcase of French art de vivre, Air France opened a pop-up rooftop restaurant at the Galeries Lafayette Paris Haussmann department store, allowing guests to enjoy the finest onboard cuisine in an exceptional Parisian setting. Together, these initiatives demonstrate how premiumization is now fully embedded in the way we design, deliver and differentiate our offer. Moving to Slide 6. This quarter, Air France-KLM marked an important milestone, the 20th anniversary of our loyalty program, Flying Blue. With 30 million members across all group airlines, Flying Blue is not only one of the leading programs in Europe, it is also a cornerstone of our commercial strategy and customer engagement model. Its recent recognition as both 'Best Loyalty Program in Europe and Africa' and 'Best Loyalty Program in the World', highlights the strong connection it fosters with our customers and the growing value it generates. As we continue to develop the program and expand our partner ecosystem, Flying Blue remains central to how we foster loyalty and elevate the premium experience we offer, embedding the program into our customers' daily lives and driving engagement that extends well beyond travel. Moving to Slide 7. We made tangible progress in advancing group-wide synergies, notably by increasing crew flexibility and resource sharing across Air France, KLM, HOP!, and Transavia, particularly in response to pilot shortages affecting our Dutch subsidiaries. Starting from the winter 2025, HOP! will be operating 3 Embraer E190s on behalf of KLM Cityhopper, since July 16, a daily Amsterdam New York JFK flight operated by a KLM Boeing 777 is now crewed by Air France pilots and KLM cabin crew, a clear example of how we are pooling capabilities across airlines to optimize resources. In support of KLM's introduction of the Airbus A350, Air France will be training the core team of KLM instructor pilots, demonstrating in practice how we can share expertise across the group. Finally, during the winter 2025 season, Transavia France will provide 3 Boeing 737-800s, along with 4 crews to Transavia Netherlands, further strengthening our operational flexibility. These initiatives show what we can achieve when we act as one integrated group with agility and coordination to respond swiftly to operational and market needs. Turning to Slide 8. Let me now turn to a strategic development that would further strengthen our footprint in Europe. As you know, in August 2024, Air France-KLM acquired a 19.9% noncontrolling stake in SAS. We have recently announced an intent to increase the stake to 60.5% by acquiring the shares currently held by Castlelake and Lind Investments (sic) [ Invest ]. This transaction, subject to regulatory approvals, would give us a majority stake in SAS, securing control of the airline by the second half of 2026. SAS is a strong and trusted brand in the high-yield Nordic market with a loyal customer base and a well-established commercial presence across Europe. This is a strategic move for Air France-KLM. It will reinforce our position in Northern Europe and strengthen our role in key connecting markets across the continent. Now moving to Slide 9. Alongside our M&A activity, Air France-KLM continues to build targeted partnerships that support our global reach. To further strengthen our MRO capabilities and reinforce the strategic positioning of this business segment, I'm proud to announce several key developments. We have extended our GE90 engine maintenance cooperation with Saudia Group, deepening an already strong partnership. We are currently in exclusive negotiations with AerCap to establish a joint venture dedicated to LEAP engine maintenance, a move that would significantly enhance our position in the next-generation engine market. And following yesterday's evening announcement, we have just launched a strategic alliance with Riyadh Air for the full maintenance and support of APS 5000 auxiliary power units, which power the airline's Boeing 787 fleet. Also with Riyadh Air, but on the commercial side, we have signed a partnership aiming to enhance global connectivity between Riyadh, Paris, Amsterdam and beyond. Moving on to Asia Pacific. We've deepened our partnership with Qantas Airways, moving connectivity or improving connectivity and enhancing the travel experience between Europe and Australia. And we've also expanded our commercial partnership with IndiGo through a new 4-way agreement with Delta and Virgin Atlantic, enhancing connectivity between India, Europe, and North America. Meanwhile, I'm particularly proud to say that we're also deepening our collaboration with Groupe ADP, the operator of the Paris Airports through Connect France, an unprecedented initiative to strengthen the competitiveness and efficiency of our Paris-Charles de Gaulle hub while accelerating progress on decarbonization and service quality. Together, these strategic moves reflect our selective, disciplined approach to global growth and reinforce Air France-KLM's leadership in international aviation. With that, I'll now hand it over to Steven, who will walk you through the detailed financial results. Over to you, Steven.
Steven Zaat: Thank you, Ben, and good morning, everybody, on this beautiful summer day in Paris. I think we showed a robust result given all the headwinds we had in the second quarter, like the tariff war, the NATO Summit in the Netherlands, a full impact of the TSBA in France and the crazy increase of the tariffs at Schiphol. And last but not least, a very unstable geopolitical situation. For sure, we had one big tailwind, which is the fuel price. But all in all, we are quite satisfied with this robust result. If we go to the revenues, you see that the revenues are up with 6.2%. This is driven by capacity increase, but also by a strong unit revenue increase of 2.4%. And actually, it's all set on the right side. You see that the fuel price is bringing a tailwind of almost EUR 200 million and the unit revenue and unit cost are almost in sync with each other, where the unit cost is exactly what we guided you already to, let's say, at the higher range of the low single digit, but we are -- they are completely in line with our expectations. If we go on Page 12, you see our network results. So let's start on our passenger network and unit revenue increase of 2.8%, mainly driven by our long haul and especially our Premium cabins. I will come back on that later. And we saw also a strong unit revenue increase at the cargo of 2.6%. So all in all, that drove up our operating margin close to 10%, a 3% change on our network business. Transavia had a little bit harder quarter. We had a strike in France, which cost us EUR 25 million. We had uncertainty around the Middle East and Tel Aviv. So that is also not very beneficial for our activity, both in France and the Netherlands. And we saw more competition to Spain, which is especially hampering Transavia, the Netherlands. And last but not least, the Schiphol tariffs are moving away our passengers to Germany and Brussels. So quite some headwinds for our Transavia business segment. If we then go to maintenance, we see an increase of almost 20% for 2/3 driven by our very strong engine business. I think it is, at this moment, very easy to contract any engine business because there is a shortage of slots of the shop visits. And we also increased further our order book. We increased our order book by almost EUR 300 million up to EUR 8.9 billion for our MRO business. And if you look at the operating margin, you see it's going up with 2%. So we are now at a 5% margin, and we are still hampered by the supply chain, but I think we had a quite decent result on our MRO business. If we then look at the split between Air France and KLM and Flying Blue on Page 13, you see that Air France had a very strong margin improvement, especially coming from the strong unit revenue development. And of course, we had a negative Olympic Games effect last year of around EUR 40 million in June. So strong unit revenue, 3.4%. Air France is actually in all business segments improving their unit revenues in passenger, in cargo, in Transavia. So a very dynamic unit revenue climate in the second quarter. And on top of that, a strong fuel price decrease, which helped the result. Then on KLM, I think we had a lot of tailwinds. They are written here. We had the NATO summit. We had a last year positive maintenance-related one-off. We got a compensation from a supplier. We had triple tariffs, which is going up with 41%. We had the problems with the 787s in May. And last year, the CLA increase kicked in, in July. So that is already, let's say, for a year-over-year comparison, not so good. So that is one of the reasons that KLM is down year-over-year. And on top, we see also more impact on the unit revenue, especially as we are more -- as we see lower low yielding -- more pressure on the low-yielding segments, which is especially impacting KLM, plus we have more growth on Europe, where the unit revenue development was weaker and the growth on it was stronger. So all in all, I think on KLM, we had quite a tough quarter this year, but it was in line actually with our expectations, which we had except, of course, for, let's say, the 787 grounding, for example. If we then go to Page 14, where we will explain the unit revenue development. So a 4% increase of capacity overall with a 2.5% yield increase ex currency. On the Premium, very strong, almost 5% yield increase, so very good and also an increase further of our Premium segment. And then on the Economy, you see that we are still gaining in terms of yield, but it is especially driven by a successful implementation of the Premium Economy further. So we grew our capacity with 15%, bringing a unit revenue in of 9%. And if you look at KLM, they increased the capacity by 42% with a unit revenue increase of 11%. So I think the premiumization in our long haul is working very well. If we then go to North America, I think everybody was worried this quarter after the tariff war that North America would be hit severely. We see an increase of 5% of capacity and almost 6% in yields. Latin America also still holds strong with a load factor of 91%, even further increase. We could not imagine that was even possible with this capacity increase. And still, the yields are going up with 6%. And then if we go to the East, you see on the East that we increased our yields with 6%. That's especially driven that we reduced capacity to the Middle East. But all in all, at the rest of the Asia, we see quite a strong yield development. The only weak spot, I would say, is in the Caribbean, both in the Netherlands and in France, where we see that the competition is lowering prices and also we see less demand. We see a lower load factor than what we had last year. If you then go to the top, you see that the Europe, it's quite difficult. We grew our capacity with 4.5% and you see that we have a flattish unit revenue in this quarter. And then on Transavia, you see an 11% increase and a 3.3% increase in unit revenue, especially driven by Transavia France. If we then go to Page 15. Then on the left, you see our unit cost development, which we can completely control. So an increase of salaries, which impacted us for 1.4% on the total unit cost. It is around 3% increase of salaries to our staff. That has partly been absorbed by an increase of productivity. That's 1% over the total unit cost. If you take it only -- you take the ASK per FTE, you talk about 3%. Then on the operations, we already saw it coming. There was one, there was a higher maintenance cost at KLM. But on top, we also had more customer compensations related to the Transavia France strike and the groundings of the 787s of KLM in May. Then another 1.1% comes on top of it, mainly driven by ATC, but also the airport charges, and I come back on it again, a 41% tariff increase just in 1 quarter is amazing what they do at Schiphol. So this 1.1% plus that 1.5% brings us close to the 2.7%. There is a small impact of the premiumization of 0.7%. And due to the mix impact because we grew some segments harder with lower unit revenues and also lower unit costs, the total impact is 0.3%. If you then deduct the fuel price impact, you see that we have a unit cost, including fuel, which is flattish, and at the same time the unit revenue is up 2.4%. So that is the moment that you start improving your results. Given all the context at KLM, we are hard working or working on KLM Back On Track, especially the KLM team, I think they are busy with it night and day. And I give the floor to Marjan to elucidate Slide 16, where we show the details what we reached in the first half year Back On Track. Marjan?
Marjan E. F. Rintel: Thank you, Steven. So Back On Track, it's in full execution. So our target is EUR 450 million. Each quarter, we have a detailed program and plan in place. For the first half year, we reached the EUR 185 million. So we realized it according to plan. It's based on different initiatives. As you know, the program consists of increasing productivity and saving costs, increasing revenues, considering the business mix and restore the network. We realized the reduction in nonperformance costs. We realized a reduction in non-quality cost at E&M. We renegotiated E&M contracts, and we are really focusing and anticipating to face headwinds, if possible. So we continue pursuing new initiatives at the end of the year to realize the EUR 450 million in total.
Steven Zaat: Thank you, Marjan. Let's go to Page 17 to look at the cash flow development. So we had a strong cash flow development in the first half year, of course, driven also by the sales of ticket. But also if you compare it to last year, we see a significant increase in what we call the recurring adjusted operating free cash flow, taking out all the payments of lease debt and net interest and also taking out the exceptionals, which we still have to pay related to COVID. On the right, you see the development on the net debt. So the operating cash flow brings a EUR 1.3 billion reduction of our net debt. But at the same time, you see that our lease debt is going up. That is for almost 50% related to the replacement of our NEO. So we are trying to switch much quicker from, let's say, the 737 fleets in Transavia and KLM to the NEOs, and we do that also supported by direct leases to make sure that we can do it as quick as possible. But all in all, you see a net debt reduction of around EUR 200 million in this quarter. If we then go to Page 18, I think we did a lot in the last years on our balance sheet, as you all know. You see that the leverage is now at 1.5x, which is at the low side of our ambition. We have a cash at hand of EUR 9.4 billion. We have renewed our RCS at KLM and at Air France and Air France-KLM in total for EUR 2.4 billion, and we extended it till 2029. So we have a wide pool of banks offering coming from China, coming from France, coming from the Netherlands, coming from Germany. So everywhere around the world is fully trusting us in our future in terms of cash and liability management. Then we issued a successful hybrid. This was a long time ago that we put a public hybrid into the market now also with the rating for the first time, and we are quite happy with the coupon of 5.75%, which we used and we go then to the next point to repay Apollo. So we repaid Apollo EUR 500 million. We did that last Monday. We paid a coupon of 6% on that. So the strategy in the coming period is to reduce our hybrid stock. There is another EUR 300 million to come in November. So this year, we will reduce for at least EUR 300 million our hybrid stock. And in general, the ambition is every time we have to do a redemption that we will reduce at least 50% in our hybrid stock. And we can all do that because we have a strong net result generation. It contributed EUR 500 million. We increased actually our equity, and that is including the reclassification of the Apollo debt because we -- the EUR 500 million, which we paid last Monday has been classified as debt as we already had the intention to repay. And last, but not least, we started with the credit rating in 2023, and you see it still confirmed at a BBB-minus and a BBB-plus by S&P. So we are very happy with that. But of course, our ambition is to get to investment grade from both credit rating agencies. Let's then go to the outlook. And let's start with the forward bookings. And I know everybody is always more interested in the quarter to come than the quarter behind. So what we see is that we see actually the same trend as what we have seen in the second quarter. It is a late booking behavior due to all the uncertainties in the world. And on top, we also had some warm months of May and June, which doesn't help in our bookings. However, we've shown in the second quarter that the late bookings can still be bridged during the quarter. So we still expect that to happen for at least a big chunk. So let's look at the first 25th of July, which we already know. The load factor gap has been closed, and we are even slightly above last year. We see an increase of unit revenue of 2% over the full network, excluding the currency impact. And if we zoom in, in the different holes, we see that the unit revenues of our European network is flat, where we see an increase of unit revenues in long haul of 3%. In the long haul, we see that North America is relatively weaker at plus 1%, where the other long-haul regions are at plus 4%. And then on top, we see a big difference between premium traffic and the low-yielding classes in the overall long-haul network. The unit revenue in the premium cabins is really strong, 9%, where the economy class is at a flat unit revenue. And within the economy class, there is a difference between premium economy, which is also at 9% unit revenue like the business class despite a growth of 11% over there, where the other economy classes are even minus 2% in unit revenues. So we see that our premium strategy is working, offsetting the lower yield classes, but we will not see back in the third quarter the strong unit revenues of the first half year, especially if you take into account that last year we had the Olympic Games, although this year we have the impact of the TSBA in France and the increase of the triple charges to the customer. But the good news is that we still have the tailwind of the fuel, and we will see a unit cost increase coming down, which I will explain later on Page 23. If we then go to Page 21, yes, there's not a lot to say here. The good news is that the Brent price is more or less flattish. We have around 70% hedged for the year 2025, and we hedged already 35% for 2026. On the capacity, it starts to be a bit boring, but we feel completely confident with this capacity guidance. So the 4.5% is reachable. We are comfortable with it. Transavia will be probably even higher than the 10%. And on the long haul and the short and medium haul, we expect to be between 3% to 5%. So let's then switch to Page 23 where you see that the group capacity, as already explained, is still at 4% to 5%. On the unit cost, you see the low single-digit increase, again, confirmed. We stick to our guidance on the unit cost on which we are quite comfortable. After the second quarter, where we had some one-offs, we expect to be in the coming period at the lower side of the range. So let's say, between 1% to 2%. But we feel completely comfortable with this unit cost guidance for the next quarters. And then on the CapEx, we still guide at the same level, EUR 3.2 billion to EUR 3.4 billion, especially related to the deliveries of our aircraft suppliers. And last but not least, of course, we stick to our net debt current EBITDA at between 1.5x and 2x. With that, I hand over to Ben for the conclusion.
Benjamin M. Smith: Okay. Yes. Thanks, Steven. So to wrap up, so Air France-KLM, we continue to deliver strong results. I'm very happy on how we're advancing our strategic priorities in an extremely complex environment. So solid Q2 performance, improved margins driven by strong execution. The premiumization remains central with new cabin rollouts and Flying Blue growth supporting sustained demand. We're expanding our global footprint, notably through the planned majority stake in SAS and reinforced strategic partnerships, agile and forward-looking response to challenges, leveraging our network strength and anticipating market shifts. The 2025 outlook confirms -- reconfirmed, as Steven just mentioned, with a balanced approach to growth, investment and ongoing financial discipline. So thank you for listening today. We're now available to answer any questions you may have.
Operator: [Operator Instructions] The first question comes from Alex Irving from Bernstein.
Alexander Irving: Two from me, please. First of all, on the Air France medium-haul fleet, how are you thinking about the right structure for this over the medium term? Clearly, you have some A220 orders, but few in the total A320 family fleet already there. How are you thinking about the merits of either having a mixed fleet of NEOs and A220s or instead of just going all A220? My second question is also on fleet, specifically as it relates to SAS that you're planning to take control of next year. Will you need to change anything about the fleet plan there? Specifically, I'm thinking that we've had a lot of E2s coming with the recent order, but very few wide-bodies on order. Do you need to take more planes, specifically more wide-body orders for SAS?
Benjamin M. Smith: Alex, yes, on the fleet side, we still have a number of A220s on order yet to be delivered. So for the remaining replacement of the narrow-body fleet at Air France, still to be determined. But you may know that our Air France pilots, they do flow between Transavia and Air France. And of course, we do have the A320neo family in place at Transavia, and both fleets are maintained by the same team at Air France and [ its fleet ]. So we do have flexibility in which way we'd like to go. So far, as you know, the A220 is performing extremely well with the exception of the engines. It is getting better. So we do very much like the A220. It does give us the ability to add frequencies. We don't have slot restrictions at CDG, but we then do have routes that are -- we do have big volume. So it's an ongoing evaluation within the group. But as of today, we've not yet made a decision on what's going to replace the remaining 2025 narrow-body aircraft where we have not placed firm orders. And then with the SAS wide-body future fleet plan. That's also under evaluation. Of course, we are not managing the airline as of today. But when we made the decision to invest in this airline, a further development of the Copenhagen hub forms a major part of that strategy. So yes, all that will be relooked at. We are hopeful that we can have SAS join the Delta Air France-KLM Virgin JV, which would have a big impact on what the future long-haul fleet would be at SAS.
Operator: James Hollins from BNP Paribas.
James Edward Brazier Hollins: Yes, a couple for me. First of all -- probably both for Steven, actually. Steven, my touch typing wasn't quite good enough. Can I just confirm you were talking about Q3 unit revenue perhaps not tracking as strongly as Q2? Maybe confirm that. And on the unit cost side, obviously you did plus 2.4% in H1. Were you talking about full year low single digit being 1% to 2% and thus implying H2 more like sort of 1%. Just clarify my amateur typing. And secondly, again, probably for Steven, but certainly Q1, and I think at the full year, actually, you talked about a EUR 300 million EBIT improvement. I think at Q1, you didn't specifically say that, but offline, you were saying that's still intact. Perhaps let us know online if it is still intact.
Steven Zaat: James, let's first start what I said on the unit revenues. That's all unit revenues, excluding currency, and it's all year-over-year impact, just to be clear. So therefore, also I referred, for instance, to the Olympic Games. And on the unit cost, so it is low single digits, so let's say, between 1% to 3%. We see that we are at the higher side in the first half year, so more to the 2% to 3%. In the second half year, we will be more between the 1% to the 2% to reach exactly, let's say, in the middle I would say, between 1% to 3%, whatever that will be. And on the full year, yes, we gave a guidance, but I didn't know what was happening on the fuel price. I didn't know that there would be an attack on Iran. I didn't know that the situation in Tel Aviv and Gaza would continue like this. So you should take that all into account. And then, of course, the EUR 300 million still holds. We are today, by the way, already EUR 400 million above last year in the first half year.
Operator: The next question comes from the line of Stephen Furlong from Davy.
Stephen Furlong: Two questions. One for Steven. Could you go through again, just for my benefit, the strategy in terms of time line for reducing the stock of subordinates and subordinated instruments? And what do you think is needed to get that investment-grade rating from S&P? Because I think that's quite important if you look compared to your peers. And then for Ben, I'm just thinking about Copenhagen again, and you might have said that at the -- when it was announced the intention to take the majority stake. But it just seems to me so under -- the potential seems to be a lot bigger than it's ever been in the context of what that could do as a long-haul type of hub. And I'm just wondering -- and I understand it gets into the JV, et cetera. But I mean, is it the potential there to allocate a lot of capital to that to there? Or is it more a kind of moving of capital between, say, in Amsterdam and Copenhagen, because one country seems to be quite progressive in terms of positive about aviation and the other one, well, not so positive really. Your thoughts there would be great, Ben.
Steven Zaat: Stephen, so let's say, if we look at the hybrid strategy, it's not directly linked to the investment grade. It's true that these hybrids, which we put in the market, they have a 50% equity recognition from the credit rating, but we are not trying to replace it all by hybrids, which has an equity content. So what will bring us to investment grade is our development on our EBITDA. That is actually what we need. So we need to generate more cash and therefore, you know our ambition to have an 8% margin from -- in the period '26 to '28. And if we reach that, then automatically, we reach, let's say, the targets for S&P in relation to investment grade.
Benjamin M. Smith: Stephen, regarding the potential of the Copenhagen hub, this was one of the prime reasons why we decided to invest in this company. The geography is excellent. They have a high GDP and the opportunity to grow, as you just mentioned, is enormous. And if you go back in history, you saw what their network was 30, 40 years ago, this airline has done it before. And what we have in Amsterdam is perfectly replicable at Copenhagen. Now in Amsterdam, we don't have plans to reduce our activity there. We, however, need to get alignment, much better alignment with the Dutch state and with the airport in order to maintain and ensure Schiphol's competitiveness. But we do have Copenhagen as an alternative. But ideally, we would have organic growth out of SAS and potentially, yes, as you said, move some CapEx or slow down some CapEx at Air France or at KLM to allocate to SAS, but that's all to be determined. Right now, we're very happy with the Air France performance. The plan is going better than we had anticipated when we first put the strategy in place. And of course, at KLM, we have a lot of headwinds and we're hopeful we can balance out some of those. But to be specific to your question, difficult to be more precise than that. But we're extremely, extremely excited about the options we have in Copenhagen, and we -- this was part of our decision was a full alignment with the Danish state.
Operator: Next question comes from the line of Harry Gowers from JPMorgan.
Harry J. Gowers: I've got a couple of questions. The first one, just if you could maybe talk through the financial impact from the Middle East. Is there any lingering demand softness due to the geopolitical tensions there? Or is that like fully recovered or normalized into Q3? Second question, can I -- Steven, can I just go back on what you said on the unit revenues similar to James' point. Were you forward-looking -- were you talking about the whole of Q3 where you said network ex FX could be up 2%? Or were you just talking about the month of July? And then the last question was just on the Transavia result in Q2 because it does look a little bit weaker. It was lower year-over-year. So maybe you could just talk through the issues in more detail in Q2? And are they more structural in nature or maybe they're kind of like one-off impacts?
Steven Zaat: Now let's start with the financial impact of the geopolitical. I think it is -- if you look at the situation in the Middle East, it has specifically an impact on Transavia. So we see that, of course, we missed destinations in that area. And those are, let's say, quite profitable destinations for us. So we missed those. And also the stop and go and stop and go every time is not really helping because you don't have another route to fly at that moment. And that also impact -- and coming back on Transavia is that everybody puts their capacity on the same place. So I think that is a big issue coming actually from the Middle East. For sure, it has an impact also on the long haul, but we see especially coming, let's say, less connecting traffic now to the U.S. from countries like India and like Africa, also related to, let's say, the situation in the U.S. and at the U.S. border and for instance, for international students at universities in the U.S. If we talk about the third quarter revenues, maybe I should have been more specific. It is the passenger revenues, and it is the first 25 days of July. So I never give any guidance on yield in the coming period because it still takes some weeks always to get it in before the bookings are fully in. So these are the actual NTR. So it is even not TTR, not the total traffic revenues, but it is the ticket revenue directly of the first 25 days because we have them already. And then on the second quarter on Transavia, I think let's look at it. So the geopolitical situation in the Middle East, I cannot -- I don't know when that will end. Then we had indeed a strike. So that is for EUR 25 million, hurting Transavia France. And I think also the development that we have more development on the medium haul at KLM compared to where we will grow further on the long haul in the year to come, that will also be easier for Transavia Netherlands. And last but not least, we had the ATC strike also in July. And if that's structural, nonstructural, I don't know, but it doesn't help at all this business segment. And last but not least, Schiphol, which is not helping at all our Transavia Netherlands operations. Operator The next question comes from Jarrod Castle from UBS.
Jarrod Castle: Just a couple of clarification questions. You said premium is very strong. Can you just give some color in terms of premium leisure versus premium business? And then secondly, airfreight, there was some really strong revenue growth in the first half. How much of this do you think is kind of stocking ahead of tariffs? And I know it's incredibly short booking windows, but any commentary you can give at the moment, how you see things there? And then I think with the Q1, you gave some color on North Atlantic, U.S. to Europe and Europe to U.S. And just trying to get some color in terms of how demand on both sides of the Atlantic are looking.
Benjamin M. Smith: Jarrod, so on what's happening in our premium cabins. So at KLM, the big, big improvement is around Premium Comfort, our premium economy, which we market as Premium Comfort at KLM. This is a new cabin at KLM. KLM, we were late to this market, but the expectations around yields has far surpassed what we were anticipating. So extremely happy with that performance. And that's -- we've seen -- it's mostly buy up. We don't see any buy down. Difficult to have an exact breakout as how much of that is business versus leisure, but it would appear it's predominantly leisure as opposed to business. At Air France, the huge increase in our performance of La Premiere seems to all be coming from leisure which is -- I mean, it's absolutely unbelievable if you look at how the performance has improved over the last few years. We are going to add aircraft that are going to be equipped with our La Premiere cabin. It was very niche in the past. We're now putting it on many, many more routes. And the business cabin at Air France, as we mentioned, there is some good growth in business travel. So that is going into that cabin. And then, of course, we are seeing buy up on the leisure side in business class and in premium at Air France. So I would say, overall, well over half is coming from the leisure segment.
Steven Zaat: Yes, on the airfreight, you say it a little bit yourself. It's a very short booking window. I think the second quarter was pretty strong because we're even holding back a little bit of intake because we had an IT replacement also at KLM on it. So I think the second quarter on the air freight was very strong. If you look at it, I think there are 2 impacts. There's the fuel price. So if the fuel price decrease, of course, that also has an impact on the freighter tariffs or the cargo tariffs. I think on the stocking, I think that has been done more in the fourth quarter, maybe a bit in the first quarter. I think there's no -- we don't see a big impact in the second quarter from that. But we will expect in the fourth quarter a year-over-year lower cargo unit revenue due to the fact that there was a lot of stocking in the fourth quarter last year. So that is a little bit how I would describe the situation on the cargo. But so far, I would say it is still good. But let's see what the fourth quarter will bring because that is our most important quarter from the cargo. And then on the U.S., yes. So what we see is that the U.S. point of sale is still holding strong. Europe is recovering a bit also related to the fact that the dollar has weakened. But what we see especially is that the sales on the rest let's say, outside of Europe and outside of the U.S. is weakening. So let's say, the parts in India, in Africa and all those kind of things, it is more weakening. So that is a little bit taking over by Europe and U.S.A. is still holding strong. But this is a little bit the mix which we see at this moment.
Operator: The next question comes from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: Can I just ask about the plans for Transavia. You're saying that the capacity is likely to be above 10% and the capacity pools for winter look to show very high growth in the Transavia businesses. Where is that capacity going? And how confident are you that you can get the economic performance out of it given the challenges you've had in the most recent quarter? Then can I ask Marjan any update on the CLA at KLM? Clearly, progress has been delayed. Do you think you'll get there? When will you get there? How can you deliver the EUR 450 million if you don't? And then a third question might come back to the unit revenue performance. Can you perhaps quantify maybe the benefit that you had in the second quarter from Easter? And maybe we can compare that with -- or remind us of the negative impact you had last year from the Olympics. So if we can try and understand what's going on with the underlying yields because you're obviously boosted by Easter.
Benjamin M. Smith: Andrew, so Transavia, you and I have talked about this several times. So it is extremely challenging, but I would say we've been working through this. We're still excited about Transavia, and we still have strong ambitions for Transavia. So we have not been able to catch a break. Q2, we had -- as Steven mentioned, we had air traffic controller strikes, the worst we've seen in France in well over 8 years. So we're hopeful that, that will steady out or that will calm down a little bit. Then we had our first strike at Transavia itself, and this was extremely unfortunate. It was a fight between 2 unions, and we got caught in the middle. And that hopefully seems to have dissipated going forward. And of course, many of these -- of the employees, they are new. They don't have the same relationship with their union as we have with the cabin crew at Air France. So that is work in progress, but I'm pleased that, that seems to be going in the right direction. So those 2 items were hopefully one-offs. And then as you know, transitioning the entire slot portfolio of Air France at Orly Airport to Transavia, which will be completed in April of 2026 is a challenging ongoing process, especially while we're trying to maintain the slots, integrate a new type of airplane the A320neo family and also continue to add to the robustness of the operation of Transavia, which for many years, it was operating with a much smaller fleet. And as an example, we don't even today have a system of reserve system to manage pilots or cabin crew. So I would say from a cost structure that all those items should improve over time. On the revenue side, the fleet at Transavia Holland is only going up by a couple of units. It's very small overall growth. I think what is we had a lot of airplanes on reserve, and we had a lot of problems, not only with reserve airplanes, but also with completion factors. So the growth that you're seeing there, I think, is mostly driven by our view that we're going to get a better operational performance of the Transavia Holland. And the growth at Transavia France was already in our plans, and it is from a commercial perspective, from the money that we're saving by not operating Air France at only, if you do net-net, it is still, from our view, much, much better than we expected. So it's hard to break out all of those items, but I'm still extremely confident that we're headed in the right direction on Transavia.
Steven Zaat: And on the, let's say, the Eastern impact, indeed, April was stronger than May and June. May and June were, let's say, more or less the same in the area of 2%. And on April, it was 4.5%. So for sure, let's say, there is an impact of around 2% related to the shift of Easter. If you go to the Olympic Games, so I think in the document, you see the EUR 40 million for the Air France Group in the second quarter. In the third quarter, we had on the passenger business of Air France, we had EUR 125 million. And on Transavia France, we had EUR 35 million in the third quarter. And then on top of it, we had a unit cost impact or one-off of EUR 50 million because we gave a premium to the staff. So it is EUR 200 million over the 2 periods on the revenues and EUR 50 million on the cost.
Andrew Lobbenberg: KLM CLA?
Marjan E. F. Rintel: Okay. Yes, yes.
Steven Zaat: Yes, you get your answer then.
Marjan E. F. Rintel: Regarding the CLAs, so it's important to have CLAs for all the KLM employees working day and night with proud for all the customers. But it's a difficult task today. The last years, we increased salaries already a lot between the 25% and the 40% based on the inflation in the Netherlands. So we offered today a one-off and a structural increase next year dependent on the results. And we really ask the unions not looking only at today, but also at tomorrow. And related to the Back On Track program, we took this in account the one-off. So we increased the EUR 450 million to EUR 480 million, and we have mitigating actions already in place to close that gap.
Benjamin M. Smith: Yes, I'm confident, Andrew, perhaps I can just add a couple of words. It's been a long, long road to try to close the pilot CLA at KLM. It is moving in the right direction. A lot more trust has been established. And the group along with the KLM teams, as Marjan said, I think the relationship is much, much better. And I think the benefits of the entire group supporting KLM hopefully will show a close on this pilot deal, which is the most difficult of all the CLAs that we've got going on and obviously, the most critical from an operational perspective.
Operator: [Operator Instructions] The next question comes from Antonio Duarte from Goodbody.
Antonio Duarte: Two for me, if I may. One of them relates to your premium development. So given the strong performance and the successful rollout of the La Premiere and Premium Cabin, could you give us some light on how much capacity do you intend to allocate to these categories overall, if there's any target, for example? And my second question comes more related to the medium short haul. You mentioned that certain markets such as Spain, we're seeing a bit more of impact in terms of unit revenues. Could you break this down a bit more maybe between holiday destinations and your home markets?
Benjamin M. Smith: Antonio, on the split in capacity between our Premium Cabins and Economy, I think we're just continuing on the same trend. There's not going to be any marked change. We've exited some very large airplanes. So particularly with Air France, the average gauge is going down, but we're maintaining the absolute premium number of seats. So the exposure to Economy will go down. And at KLM, if you go back to prior to COVID, we had a very different makeup of the fleet. We had an extensive fleet of 747 combis. So at KLM introducing Airbus A350s, I think it's a much more efficient airplane than the A330s that will be exiting. The balance between Premium and Economy at KLM will go up, not as significant as what we had at Air France. But the Premium Comfort at KLM, I think, is going to be a sweet spot that's quite unique to KLM when you look at the dynamics of that market. So as we watch how that develops over the short term, that will dictate how much we invest in terms of real estate on the airplanes into that cabin. But we're -- as I've already mentioned a few times here, we're really pleasantly surprised by the financial performance of Premium Comfort. So to specifically answer your question of how much capacity is going to be allocated to each one. Now that we've renovated all these planes, we've designed them in a way that we can easily flex up and flex down depending on market conditions. And that was one of the key components of the renovation, the retrofits of the airplanes we've retrofitted and the ongoing ones so that the major monuments, galleys, toilets and all that would stay in the same place, but we want to increase Economy Plus or Premium Comfort as we call it, at KLM, Premium and Air France. We've got that ability without spending or investing too much money into the airplanes. So flexibility is what we have.
Steven Zaat: And Antonio, to come back on your Spain question, I think that is especially for our low-cost segment, and it's especially for the, let's say, Transavia, the Netherlands, there is the big impact because in, let's say, the market from the Netherlands to Spain is pretty big. We saw that competition is withdrawing now also some capacity. But at the end of the day, we also added capacity because we flew with bigger planes. So I think it is especially load factor impact, but I cannot specify what is the exact number.
Operator: The next question comes from Quirijn Mulder from ING.
Quirijn Mulder: A couple of questions from my side, if you allow me. For Marjan, maybe, if you speak about the CLA, it's not only about cost where the unions have problems with, but it's also the working schedule and that sort of things, which, in my view, could lead to hiring more people in that respect. So maybe you can comment on that. And I'm speaking about, let me say, the ground personnel, the threat they have for September. That's one. And then to continue on KLM, EUR 185 million cost savings. How much is already realized in the first half year? And how much do you think you will realize in the second half given your target, I think, at the end of the year of EUR 450 million. That were my first question. And then maybe something on the FX for the second half, how you look at that situation with regard to, let me say, the weakening dollar, some positive FX, some negative impacts as well. Maybe you can give me -- give us an idea.
Marjan E. F. Rintel: Steven, I will start. Yes. Okay. So regarding the CLAs and you specifically asked for ground handling. So what we did the last couple of years, we needed after COVID a lot of extra staff to come back up at the level we need for operations. We did that in the last few years. We raised salaries in the last few years with 25% to 40%. So what we said today, looking ahead, we need at least productivity, but productivity you can find within the CLA and outside of the CLA. So we did both, and we will do both. And at the same time, if you look at Back On Track, we realized already the EUR 185 million. You know our target is EUR 450 million. So it's EUR 265 million we need to realize in Q3 and Q4, and this is according to plan.
Steven Zaat: Quirijn, welcome to this call. It's I think the first time. So good to hear you. On the rate of exchange, I think we are -- in January, we are short in dollars. So it is quite good if the dollar is weakening for us, as we have incomes in dollars mainly coming from the U.S., but there are also dollar-related currencies like the Mexican pesos and for instance, usually also the Canadian dollar. So those kind of elements, those are bringing, let's say, a lower exposure. Our maintenance and our fuel are, of course, the biggest driver for our fuel cost. But in general, we are short, and we have hedged our positions between 50% and 60% for the coming year. So there's also an impact over there. And then on the fleet, we usually build up our dollar position when we, let's say, order the plane over the period, and we have quite some substantial currencies already hedged for the fleet because we could make a good deal in the market.
Operator: [Operator Instructions]
A - Benjamin M. Smith: Okay. Thank you, operator. I think we're ready to close the call.
Operator: Gentlemen, I give the floor back to you for the conclusion.
Benjamin M. Smith: Okay. Thank you, everyone, who's on the call today, and we look forward to speaking with you at the next quarter end. Have a good weekend.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for participation. You may now disconnect.